Operator: Good morning, ladies and gentlemen, and welcome to Veolia 9 Months Key Figures Conference Call and Webcast with Estelle Brachlianoff, CEO; and Emmanuelle Menning, CFO. [Operator Instructions] This call is being recorded today, November 6, 2025. I would now like to turn the conference over to Estelle Brachlianoff. Please go ahead.
Estelle Brachlianoff: Good morning, everyone, and thank you for joining us for this conference call to present Veolia's 9 months key figures, and I'm accompanied by Emmanuelle Menning, our CFO. I'm on Slide 4 for all the key takeaways. Our 9-month results are once again very good with strong underlying business trends and a favorable momentum going into the end of the year. Our 9 months performance in EBITDA terms was particularly strong internationally, where the group generates 80% of its revenue as well as for our Boosters, as I will explain in a few minutes. In a rather challenging environment, this sustained performance quarter-after-quarter is really a testimony to the choices we've made in GreenUp as well as the strength of our business model of resilience and growth. Veolia can rely on a successful combination of Stronghold and Booster activities added to a diversified portfolio, both by geography and customer as well as a continued attention to performance. Moreover, we're constantly looking to create value by pruning our portfolio and have completed EUR 2.3 billion of M&A since the beginning of the year in our Boosters, Water Technology and Hazardous Waste in particular, and outside Europe, following, as you know, the disposal of nonstrategic assets last year. I can, therefore, fully and strongly confirm our guidance for the year, and we should have a very strong Q4. I'm now on Page 5, where you see that our 9-month key figures are once again very strong. Revenue reached EUR 32 billion, up plus 3.2% excluding energy prices, which are essentially pass-through for us, as you know. EBITDA increased by a substantial plus 5.4% on a like-for-like basis, fully in line with our 5% to 6% guidance and shows a margin improvement of 50 basis points. This is thanks to our strong international performance as well as our recurring efficiency gains complemented by the last synergies coming from the Suez acquisition more than 3 years ago. Current EBIT was up plus 7.9%, demonstrating strong operating leverage. Net financial debt remains well under control at EUR 19.9 billion, even after EUR 2.3 billion of net financial acquisition closed in the 9 months. We are perfectly on our trajectory to less than 3x at year-end with the usual seasonality. Our solid 9-month performance and expectations for Q4 enables us to fully confirm our guidance. In this uncertain time, Veolia's results are sustainably progressing quarter-after-quarter as we have demonstrated over the last few years. And why is that so? I would like to highlight key features on Slide 6. And I will insist on our international exposure with 80% of our revenues growing faster than the rest of the group and with very good EBITDA performance as well. Even in France, which accounts for 20% only, our results are not sensitive to the political context. And this is structural as we hold no national contracts and no public money is involved. Moreover, ForEx does not impact our businesses or margin as we just saw in the last 9 months with plus 50 basis point margin. We do not have ForEx transaction exposure, only translation. In a way, no business impact. We are a multi-local group with very limited international trade. On Page 7, you see in figures our performance outside Europe, which really stands out and explains a great deal of our resilience and growth in the last 9 months. Indeed, our Rest of the world businesses are more profitable with an EBITDA margin already at 17% versus 15% on average for the group, and they are faster growing. In growth term, you can see the detailed performance in the 9 months, which has been enhanced in Q3 compared to the first half, plus 6.2% in North America, fueled by an accelerated growth of Hazardous Waste, plus 9%. In Africa and Middle East, plus 10.5%; in Latin America, plus 9.4% and plus 5% in Asia. As you know, our value creation and EPS growth come from 3 pillars: top line growth, performance and capital allocation. And I'm going to go through them one by one as always, to illustrate how they have each contributed to our performance in the 9 months, starting with growth of our Stronghold activities on Slide 8. We've registered a very solid revenue growth of our Strongholds. Let's start with Water operations. Revenue increased by plus 3.9%. We continue to benefit from good indexations and have achieved successful tariff renegotiation in Spain as well as rate cases approvals in our U.S. regulated operations, which protects our future earnings. We just opened our first upgrade control center in North America to foster operational excellence and leveraging data. Solid Waste revenue grew by plus 0.9% or 1.5% excluding energy prices despite sluggish macro. As we have detailed in our deep dive last June, we managed to largely disconnect our waste activities for macro, thanks to a varied portfolio of customers, good pricing and quality of service, and we favor bottom line over revenue as well. Revenue from District Heating Networks increased by plus 2.7%, excluding energy price, thanks to sustained heat tariff as well as some network expansion and a favorable weather impact in H1. Q3 is not a very significant quarter for this activity. On Slide 9, one good example of the dynamism for Water operation in Q3 is certainly the signing of its first hybrid municipal and industrial desalination in Chile in Valparaíso. As you know from our Oman event on desalination a few months ago, Veolia is the world leader in desalination technologies with 18% of the world's desalination facilities having been designed and built with Veolia, and we have big ambitions. I'm very proud of this win in Valparaíso after a very intensive competitive process as we will be able to provide the highest technical, environmental and social standards to Aguas Pacifico. Let's move to our Boosters performance on Slide 10, which have performed well. The EBITDA performance is even remarkable, confirming my choices in GreenUp. Water Technology to start with, as you know, is a mix of various business models as we detailed in our deep dive last year. As you may remember, 70% of our Water Tech activities are deemed recurring, corresponding to products, mobile units or chemicals. And I'm very happy to see this base having achieved a very good Q3 with 6.8% growth and 4.8% since the beginning of the year, testimony to our technologies and commercial power. On the other hand, projects were impacted in the quarter by the timing milestone delivery and a strong comparison base last year. Quarters are always very different in this activity, and I expect a normalized Q4. Overall, and combining those different business lines, Water Tech has been up only 2%, but EBITDA progressed with 10% organically, which is excellent. Hazardous Waste revenue increased by plus 5.5%, including tuck-ins and 4.4% organically. I would like to highlight, in particular, the very strong growth in the U.S., up plus 9% year-to-date and despite planned shutdown of [indiscernible] early in the year. We have started our new operation in Saudi in the Dubai complex, and only China is lagging behind in terms of price, but we start to see some rebound in volumes. In terms of EBITDA, 9 months performance was excellent with above 10% organic growth. In Bioenergy, revenue was up plus 21.3% excluding energy price and including our new targeted acquisition. If I go to organic growth, it was still plus 8.2%, which is very good. Some illustration of the high-tech part of Veolia on Slide 11. You can see on this slide 2 good examples of the dynamism for our Boosters in Q3. First, in Water Tech, after years in the making and technical design, we were awarded a $500 million project in Saudi Arabia for the Saudi Aramco Total Energy Consortium called SATORP. We will design, build and operate a new massive plant. We're talking 8.10 million cubic meters per annum, treating the super complex affluent of this petrochemical complex. We combine here our unique set of Water Technologies and Hazardous Waste know-how, not only to offer a solution to remove pollutants, but also to recycle water in this arid region. I'm also very proud to have signed a partnership with TotalEnergies to combine our expertise and technologies to develop innovative solutions for industries, methane measure and capture, low-carbon energy for desalination facilities, strategic metal recovery from waste, et cetera. Now let's dive into our second lever of value creation after growth, which is performance and efficiency. I'm now on Slide 13, which shows our 9 months performance. In terms of our yearly efficiency plan, we achieved EUR 295 million in gains, in line with our annual target of EUR 350 million. As you know, this is a recurring lever embedded in our operations and therefore, one we can count on for years to come, not to say forever. Efficiency gains of Veolia are not discretionary cost-cutting programs, of which you could question the continuity, but they come rather from a very diversified series of initiatives in our thousands of plant, which explains the recurring element of it. Worth noting, we have already registered EUR 5 million of additional synergies coming from the combination of our 2 business units in Water Technologies after the CDPQ minority buyout closed on June 30. In terms of cost synergies derived from the Suez merger, we have achieved EUR 73 million in 9 months for a cumulative total of EUR 508 million since day 1. This is in line with our objective of EUR 530 million by year-end, which, as you know, we've raised a year ago. I'm now on Slide 14, which details the third pillar of value creation, capital allocation and portfolio pruning. You will see a powerful 9 months in that respect with EUR 2.3 billion of acquisition completed almost entirely in Water Tech and Hazardous Waste and outside Europe. This is fully consistent with our GreenUp priorities. I must say the year-to-date enhanced growth outside Europe and plus 10% EBITDA increase in those 2 Boosters confirm that these are good investments to sustain future earnings growth. Detailing those investments first in Water Technologies with CDPQ's 30% stake for EUR 1.5 billion, which you know is an operation which will be accretive and ROCE enhancing, thanks to EUR 90 million cost synergy by 2027. In Hazardous Waste, we've signed 6 bolt-on acquisitions for a combined EV of EUR 400 million and good multiples, notably in the U.S. and Japan. Of course, we maintain our strict balance sheet discipline and our leverage will remain below 3x at year-end, allowing the group to retain strategic flexibility. Our strong 9-month results, of course, allow me to fully confirm our guidance for 2025, which is reminded on Slide 14. I wish to invite you as well to join us in Poland later in the month, where it will give some color about our district heating and decarbonizing energy activities. Finally, and as a conclusion, I wanted to remind you of our long-term guidance, fueled by our 3 levers of value creation and GreenUp priorities. It includes current net income growth of 10% per year on average over the period with dividend growing in line with current EPS and ROCE above 9% in 2027. As you remember from our yearly presentation, we decided to launch a share buyback plan from '25 to '27, size to neutralize the impact of the employee shareholding program. So that going forward, current EPS will grow in line with current net income growth. I now hand over to Emmanuelle, who will detail our 9 months key figures. Emmanuelle, the floor is yours.
Emmanuelle Menning: Thank you, Estelle, and good morning, everyone. Veolia's results at the end of September are very solid with strong underlying business trends and a very favorable momentum, which I would like to detail. Indeed, if we look at our EBITDA performance, we see tailwinds. First, in our international operations, notably outside Europe, where the group generates 80% of its revenue with circa double-digit EBITDA growth and second, for our Boosters with EBITDA increased by more than 10% in the 9 months. In Q4, we expect this trend to continue, and we also expect improved performance in France as we will reap the benefits of our action plan, notably in French waste. Nine months results are fully in line with our annual guidance and are also a testimony to the strength of our business model of resilience and growth with a successful combination of Stronghold and Booster activities and a diversified international portfolio. With EUR 32 billion in revenue, we experienced a solid growth of 3.2%. The operating leverage as the good delivery of efficiencies and synergies were excellent. A solid organic EBITDA growth of 5.4% at EUR 5,080 million and a current EBIT growth of 7.9%. Net financial debt reached EUR 19.9 billion at the end of September, up from December '24 due to the seasonality of working capital variation and M&A activity, down compared to the end of June '25 due to the temporary favorable impact of the hybrid bond debt issuance of EUR 850 million, which will be reversed at the end of the year. We expect the leverage ratio to be below 3x at year-end after full seasonal working capital reversal in Q4. You can also see on the slide the detailed ForEx impact, which increased in Q3 due to the weakening of the U.S. and Australian dollars as well as the Argentinian and Chilean pesos. A few things are important regarding the ForEx impact for Veolia. First, our revenue is only about 40% generated in euro. But as a multi-local group with very limited international trade, ForEx does not impact our businesses or margin. Our revenues and costs are always in the same currencies in each of our countries. The increase in currency impact in '25 reflects the improved performance of our international activities. Our guidance at EBITDA level is at constant scope and ForEx. Finally, as you saw in previous year, the ForEx impact at EBITDA level is very much offset down the line to current net income. ForEx impact was minus EUR 68 million at EBITDA level and minus EUR 44 million at current EBIT level at the end of September. Using the ForEx exchange rate at the end of September '25, the full year impact at EBITDA would be around EUR 130 million minus, but it varies every day. Our full year guidance, which is at constant scope and ForEx is fully confirmed at EBITDA and current net income level. Moving to Slide 18, you can see the revenue evolution by geography. The main feature in Q3 was the enhancement of our growth outside Europe. I will detail it in a few minutes. I will start with Water Technologies. As Estelle recalls, 70% of our Water Tech activities are recurring corresponding to products, mobile units and chemicals. While 30% is volatile, these are the projects. In Q3, project revenue was impacted by the timing milestone delivery and a strong comparison base last year, while the 3 other business lines grew double digit. Excluding project, Q3 Water Tech revenue was up 6.8% in Q3 and 4.8% in the 9 months. This was reflected in the EBITDA level. Water Technology EBITDA increased by 10% in the 9 months, benefiting also from the efficiency and synergy delivery. As Estelle mentioned, we have already generated EUR 5 million of additional synergies coming from the buyout of WTS minority interest in Q2. Rest of the world performed very well in Q3. With revenue growth accelerating from 3.7% in H1 to plus 6.6% in Q3, driven by all geographies. Europe grew by 4.1% in the 9 months, fueled by resilient waste activity, a solid Q3 in water operation and excellent performance in Southern Europe, notably in Spain, up by 7%. Finally, France and Hazardous Waste Europe benefited from good hazardous waste performance, partially offset by low growth in solid waste and good water activity. Now let's take a look at our performance by business. Let's start with Water, representing 40% of our revenues and 50% of the group EBITDA. Water revenue was up 3.4%, fueled by the strong water operation, up 3.9%, while Water Technology was up by 2%. Water Operations benefited from good indexation with continued price increases in Europe and in the U.S., while indexation was back to 0 in France due to lower electricity prices. Volumes were on a very good trend, up close to 3% in Europe. As I just explained, the underlying growth of Water Technology, excluding the timing project delivery remained quite strong. Moving to Waste, representing 35% of our revenues. Waste activities grew by 1.8%, a steady pace despite an [ helpful ] margin. Waste growth was very comparable in Q3 to previous quarters. Starting with solid waste. It's a very local, systematically adapted to the reality of the geography with a well-balanced customer portfolio across countries, and it has been demonstrating its resilience through the quarters. In terms of volumes and commercial developments, performance was mixed, resilient volumes in the U.K. and in Germany. U.K. incineration activity was impacted by planned outages, but still down in France, although better in Q3. Activity continued to progress in the Rest of the world, notably in Latin America and in Hong Kong. Hazardous Waste grew by plus 4.4% in the 9 months, plus 5.5%, including tuck-ins, thanks to continued good pricing and plant performance with EBITDA up by more than 10% year-to-date, which is outstanding. Growth accelerated in the U.S., plus 9% in Q3, fueled by excellent incineration volumes and pricing, a slower quarter in Europe due to facility outages and lower recycled oil prices. Finally, moving on to energy, and I am on Slide 21. As you know, energy revenue is sensitive to energy prices, which were down as expected again in '25, but to a lesser extent than last year. The prices were on average almost stable compared to last year and electricity prices were down as expected. Excluding the energy price impact, growth was quite good, plus 4.5%, thanks to good volumes, helped by a colder winter and fueled by a strong activity in the booster energy efficiency and flexibility, up 8.3% with strong momentum in Belgium, Southern Europe and in the Middle East. The revenue bridge on Slide 22 explains the driver of our growth in the 9 months. Scope was negative at the end of September and reached minus EUR 327 million, mainly due to the impact of last year disposal, but as expected, was neutral in Q3. The impact will turn positive in Q4 as 2024 divestiture were all closed in Q3 last year. Negative ForEx impact increased in Q3, as I mentioned earlier. The impact of energy prices was as expected, divided by 2 compared to last year at minus EUR 501 million. Recycled prices were neutral. The weather effect amounts to plus EUR 169 million due to a colder winter at the beginning of the year in Europe. The contribution of commerce and volumes were comparable to last year, plus 1.3%, driven by sales momentum and resilient volumes. Finally, price effects were as expected, lower than in 2024 due to lower inflation and contributes plus 1.4% to top line growth. On Page 23, you have the EBITDA bridge detailing our organic growth of 5.4%, in line with the annual guidance between 5% and 6%. Scope was negative at the end of September and reached minus EUR 56 million. Negative ForEx impact increased in Q3 versus Q2, as mentioned earlier. The impact of energy was minus EUR 39 million, less than last year as expected, while recycled prices were slightly up plus EUR 13 million unchanged in Q3. The commerce/volumes/works effect was positive at plus EUR 77 million, in line with revenue impact. Pricing and efficiency gains of EUR 295 million generated plus 2.3% in additional EBITDA, hence, a very good retention rate of 38%. Worth noting, we have already registered in Q3 EUR 5 million of additional synergies coming from the combination of our 2 business units in Water Technology after the CDPQ minority buyout close on June 30. The synergies amount to EUR 73 million, notably in the Water Technology activities in the U.S. and in Hazardous Waste, leading to a cumulated amount of EUR 508 million, perfectly in line with our cumulated objective of EUR 530 million. The symbolic threshold of EUR 500 million has been exceeded. Going down to current EBIT, this slide illustrates perfectly the operating leverage of our business model, 3.2% revenue growth, 5.4% EBITDA growth and 7.9% EBIT increase. Current EBIT grew to EUR 2.7 billion at a faster pace than EBITDA. Renewal expenses of EUR 231 million were comparable to '24. Amortization and OFA were slightly lower than last year due to perimeter and slightly up at constant scope and ForEx. Industrial capital gains, provision and other were down due to the high provision reversal in '24 with the ending of operational risk. Joint ventures are slightly decreasing. Before concluding, I remind you on this slide of our share buyback program, which has been launched to offset the dilution of the employee shareholding program. Our strong 9 months results allow me to fully confirm our guidance for 2025, continued solid organic growth of revenue, excluding energy prices. For EBITDA, organic growth between 5% and 6% more than EUR 350 million of efficiency gains, more than EUR 530 million of cumulated synergy at the end of 2025, current net income up 9% at constant ForEx, leverage ratio below 3x. And as usual, our dividend will grow in line with our EPS. Thank you for your attention.
Estelle Brachlianoff: Thank you, Emmanuelle. And now we are ready to answer your questions.
Operator: [Operator Instructions] And your first question comes from the line with Bartek Kubicki with Bernstein.
Bartlomiej Kubicki: If I may ask maybe 3 very short questions. First of all, on your FX, you gave a little bit of a guidance, what could be the FX impact on EBITDA in 2025, assuming the currency rates stay where they were at the 30th of September. I just wonder what would be the impact on net income? Because in FY '24 in the first half, the impact on net income was 0. But in the past, it used to be negative, when the impact on EBITDA was negative. So I wonder what is your view on this one at the end of FY '25? Second of all, if we -- about your share buybacks, I think there was a proposal to increase a taxation on share buybacks in France, an idea. And I wonder if this was applying to share buybacks on employee shares. What would you do if you had to pay additional taxes on share buybacks in France? Just a hypothetical example. And the last point would be on your Hazardous Waste margins because I guess, with 4.4% revenues increase and 10% EBITDA increase, we are looking at margin expansion. I just wonder whether this is a structural trend and you will see a margin expansion going forward from today's levels? Or do you think you have already reached levels which you find optimal in terms of EBITDA margins in Hazardous Waste?
Estelle Brachlianoff: Thank you for your 3 questions. I will start and Emmanuelle will be able to comment further, of course. Regarding guidance on ForEx, on net result, just a few elements on that. First, I can fully confirm our guidance for the year, so which means 5% to 6% EBITDA at constant ForEx. And it's fair to say you've understood from the tone of this presentation this morning that I expect to be on the upper range of this range. Two, I can fully confirm as well the net result, which is 9% growth this year. I think this is a super important element. And as you know, I just wanted to highlight a few things on ForEx. ForEx for us is very different from in many different companies, I guess, because in a way, it has no impact on our business neither positive nor negative in a way. That's exactly why we guide at constant ForEx. It's because it's exactly what we have a look at. It's the direct consequence, of course, of our being super international with 80% of international business, plus it has no impact on margin as we've demonstrated in the 9 months with a plus 50 basis points. As Emmanuelle said, we are a multi-local company. So we have no transaction impact of ForEx. It's really like we are paid in dollars, we pay our cost in dollars and same applies to euros and so on and so forth. Just want to highlight that before Emmanuelle comments on the specifics of your question.
Emmanuelle Menning: Yes, you're absolutely right, Estelle. Regarding ForEx, it's the direct translation of our being 80% international and 40% outside Europe, which is growing faster. I will not come back on the fact that we are only translation impact and no transaction impact. We expect, as I mentioned, the impact at the end of 2025 at EBIT level to be around EUR 130 million -- EBITDA, taking into account the 9 months results and the closing rate at the end of September.
Estelle Brachlianoff: Although it's fair to say it varies every day, as we've seen with the political situation in the U.S. meant suddenly, the dollars went up again. So I'm not so sure we expect if we were to do that calculation with the same range as end of September, which would be now the fair comment, right?
Emmanuelle Menning: Absolutely. And we haven't changed our range. You know that ForEx impact at current net income level is largely attenuated. Usually, EUR 100 million at EBITDA level translates into EUR 20 million at C&I level.
Estelle Brachlianoff: Your second question on share buyback, even in the -- I mean, as you have said and implied, the fiscal debate is not over yet in France like far from. Even if we were in the -- what was imagined in the last few weeks were to be voted, which is, I must say, unlikely for the majority of it, but nevertheless, even if the share buyback that we have launched would not be concerned. Actually, there is an exception in this fiscal turmoil, which is share buyback associated with employee shareholders. So we would not be impacted in any way, shape or form even if that were to be voted. And just to rehighlight that French political situation does not have any impact on our results at Veolia, not only because we're only 20% in France, but even in France, we are very local as opposed to national. We don't have national contracts. We don't have like debt -- public debt is not involved. We are really multi-local as well. Just want to highlight that again. In terms of your third question on Hazardous Waste, the margin expansion is structural. And we've highlighted that in the deep dive we've done last June. I think it was with a big ambition, in Hazardous Waste to raise the margin, the EBIT and the ROCE by plus 50% by the end of the plan, thanks to the progressive opening of the various facilities we have. We are on the way of building, which are good profitable margins apart from the ramping up of those, which could be temporary for a few months, just like not fully yet delivering the full speed. Yes, I don't expect any specific thing. It's really structural. It's a mix of like availability of our plants, plus pricing, good pricing plus good volume and increase in the industrial base in some key sectors such as micro e. This is what is structurally behind this increase in margin. Just to give you a specific figure, which was highlighted by Emmanuelle, but I want to emphasize again on. In the U.S.A. alone in Hazardous Waste, we've grown our revenue plus, plus 9% in Q3, which is even at a higher rate than the first half. So it's really sustained we don't see anything but a sustained, if not even better Q3 than the first half. So that's why I'm very confident for a very good Q4 for Veolia and a very good year. That's why I mentioned the upper end for EBITDA at constant ForEx.
Operator: And your next question comes from the line of Arthur Sitbon with Bernstein (sic) [ Morgan Stanley ].
Arthur Sitbon: Can you hear me?
Estelle Brachlianoff: Yes.
Arthur Sitbon: It's Arthur Sitbon from Morgan Stanley. So the first one is actually on your EBIT. I've noticed that your industrial capital gains, I mean, the line of capital gains net of impairments, et cetera, is significantly lower than last year, which I suspect suggests the quality of your EBIT -- the underlying quality of your earnings in 9 months is relatively good. I was wondering, is it just a timing effect and we're going to end the year with a similar level of capital gains than last year? Or should we expect basically you to deliver on your net income guidance with a bit less gains than last year, which could be a message on the underlying quality of earnings? That's the first question. The second question, you talked already a little bit about taxes in France. I -- and as you mentioned, we don't know what will be implemented at the end of the day. But I just wanted you, if possible, to give us some information on that potential tax that would change the way -- essentially, that amendment that would change the way the corporate tax is calculated in France and will align it on your share of revenues generated in France, not PBT. I was wondering if there is a significant discrepancy between your exposure at revenue level and PBT level in France? And if you could help us understand a bit that.
Estelle Brachlianoff: So capital gains and the quality of earnings, Emmanuelle.
Emmanuelle Menning: Yes. Thank you, Arthur, for your comments on the quality of results, which is really good at the end of the 9 months and that we are confirming. And to be short on your question, we confirm that at the end of the year, the amount will be decreasing compared to last year, confirming the quality of our results. In terms of your second question on tax in France, the short answer is we don't expect any negative impact nor positive on the potential corporate tax that you mentioned because there is an addendum, which makes it that we would not be concerned. And we could go through the list of the various tax which we imagine in France. And for some, the answer would be, again, in conditional terms, no impact. For others, it may be EUR 5 million, EUR 10 million max. So we're really talking about things which are absolutely not significant at Veolia's group level. And as I remind you, France is 20% of our revenue, but less of our earnings. So there is no big impact of all this in our group's results.
Operator: And the next question comes from the line of Olly Jeffery with Deutsche Bank.
Olly Jeffery: So 2 questions for me, more kind of general beyond the results today. So the first one is just on the efficiency program that you guys have and have every year. Is there some part of the efficiency program that happens every year that you might be able to consider to be almost efficiency that could be considered as underlying growth that might be, for example, you're sharing in the benefits of efficiency targets on specific contracts. I know often this is seen a straight out cost cutting, but is there some elements of cost cutting, which actually perhaps people view as that, but you might consider internally as being more genuine growth. I'd just be interested to hear your views on that. And then secondly, there's been discussions from some investors recently about the opportunity you might have with regard to data centers, water cooling, et cetera, in the U.S. Is that something that you see as a potential growth opportunity out this decade? And if so, what are the areas where that you feel that you can operate within that and potentially might be able to see the most growth?
Estelle Brachlianoff: Thank you. Do you want to take the first question, Emmanuelle, on efficiency?
Emmanuelle Menning: With pleasure. So regarding efficiency program, you're absolutely right, Olly. It's fueling our underlying growth, and it will continue to fuel our underlying growth. Very happy about what we have been able to achieve in terms of efficiency for the 9 months. The element which is important also and that you have in mind is that in Q4, it will be also pushed by the results that will come, especially in France as we will reap the benefits of all the measures that we have implemented in the 9 months. So very sustainable trend completely linked with our businesses and which will fuel the underlying growth.
Estelle Brachlianoff: So basically, you can count on them forever with Veolia. For the reason I mentioned in my speech, which is it's not a big cost cutting as in one-off laying off people typically. We're talking about thousands of plants, each of them having a constant way of having a look at how they could be more performing and efficient, which is very different. Therefore, you can count on them forever. In terms of data center, you're exactly right. We are building an offer on data center, which I think is very, very promising. We already have quite a few contracts actually across the globe in Europe as well as in the U.S. so far and in Australia as well, it's fair to say. And it's a way to have Veolia combining the data center needs and boom with still the access to resource and sustainable element of it. Meaning what we offer is not only reduce carbon footprint by recouping the heat as well as being even water positive as in replenishing resource. As you know, data centers consume a lot of water to be cooled down. And we have implemented a few offers there with a few customers already, and we aim at doing more of that. So yes, you're right, growth opportunity for Veolia certainly. And I count on it to fuel not only the GreenUp plan, but the next few years with a lot of assets is going to be here, I think, for a very long time.
Operator: And the next question comes from the line of Juan Rodriguez with Kepler Cheuvreux.
Juan Rodriguez: I have one, if I may. It's kind of a follow-up. If I'm correct, you signaled that you expect to be on the upper part of the guidance for the year. Can you please give us more clarity, as we currently see, you're in the middle part of the range? So you expect probably a strong Q4 with cost efficiencies, volume recovery? Is it both? And can you give us a first look of what has been the operational performance so far in the quarter were already at the beginning of November?
Estelle Brachlianoff: Emmanuelle?
Emmanuelle Menning: Yes, with pleasure. So as mentioned by Estelle, we expect a very strong Q4 and to be at the upper range. Regarding revenue, we expect -- we have some moving parts regarding, of course, the weather, but we expect a growth which is similar to what we have seen in the 9 months. And regarding EBITDA, it will be, of course, pushed by the generation of synergy from Water Tech, the performance that we will have in France, recovery -- thanks to the action plan which has been launched, which are the 2 main reasons. And as you may have seen, the October in terms of heating generation has been positive. So that's the main reason for us to be very optimistic regarding Q4.
Estelle Brachlianoff: And as we -- I will comment on the Q3 was more on the plus side and then minus side in terms of trend compared to H1 as well. Everything we've seen internationally in the U.S. has this way, just to give a few examples, and we have figures in the slides, but Q3 was more on the up than the down compared to H1. So we are into a very good momentum into Q4.
Operator: And the next question comes from the line of [ Mark Abe ] with Citi.
Unknown Analyst: The first one I've got is on the Water Tech business. I think at the first half, you gave a number of EUR 2 billion of bookings. Can we get an updated figure of backlog at 9 months as of now? And also remind me how that converts -- how that backlog converts into revenue? And if there's any sort of large projects with definitive timing that we can think about? And then just a second one quickly on the recyclate pricing. I think at 9 months, you've seen it relatively flat, slightly positive. We saw in the U.S. Waste Management profit war, they're seeing low lower recyclate pricing. Can you just talk to if there's any kind of read across or impact for Veolia there, please?
Estelle Brachlianoff: Okay. So on Water Tech, we always hesitate to give always the backlog because backlog is only on the project bit of our activity, which is roughly 30% of it. And the backlog was not very relevant in Q3, but we expect quite a few bookings in Q4. So we'll give you the over end. So it doesn't translate directly because of the proportion of projects versus more recurring things. So roughly -- and you can have a look at our deep dive on Water Tech, where we explained the full detail of that. Basically, we have 30%, which is project based, which is very linked with backlog, say, and 70%, which is more recurring. We're talking here about products, typically membrane. We're talking about services, mobile unit. We're talking about chemical products as well. And this 70%, which is more relevant to be compared quarter-on-quarter, has grown by 6.8% in Q3, year-to-date, plus 4.8%. So we are very happy about this bit. And you have the ups and downs of the project, which is that plus a very high comparison base of last year. So we expect quite a few bookings in Q4, and it starts well, it's fair to say. In terms of the recyclate pricing, I will have Emmanuelle answering, but no read across from American dry waste company. We are not in dry waste in the U.S. We are not concerned by recycling prices, which is a quite different logic from the European one, it's fair to say. But on recyclate price trends, Emmanuelle?
Emmanuelle Menning: Yes. On recyclate price, you have seen the impact at the end of the 9 months, which is plus EUR 13 million at EBITDA level, we don't expect a significant impact at the end of the full year. You know that we have implemented with Estelle a huge transformation and deep transformation of our Waste business, meaning that everywhere we can, we are in a back-to-back construct. So if you want a figure for the end of the year, it's non-material. So we had a little bit of plus at 1 month, a little bit of minus the month following. So nothing very specific. And in other geographies which are concerned mainly on dry waste, we're talking Germany, France, U.K., Australia. With that, you have an 80-20 type of flow for our business.
Operator: And the next question comes from the line of Philippe Ourpatian with ODDO BHF.
Philippe Ourpatian: I have just one simple question is concerning your free cash flow. I mean there is no mention about where you were at the end of 9 months this year. And as you confirm, I would say, a very strong Q4 and your net debt-to-EBITDA below 3. I do suppose that the reversal on Q4 will be maybe stronger than expected. Could you just give some figure concerning the end of 9 months in order to help us to better understand how it will move concerning the working capital and some other, I would say, items, which could be your CapEx and some cash in coming from, I don't know where. But please just -- that's going to be very helpful.
Emmanuelle Menning: Bonjour, Philippe. With pleasure to speak on free cash flow. You're absolutely right. The amount of free cash flow at the end of the 9 months is quite similar to what we had last year. We had a strong Q3. You remember that in Q1, we had some few timing effect and specific effects linked to Flint cash-out, scope entries and adjusting scheme Water France royalty payments. And we fully confirm that we expect the usual reversal in Q4. You know that we are very committed to free cash flow generation, which is fueling our growth and to pay our dividend. We have -- we are mobilizing the organization to invoice faster, to collect faster. We have a few projects regarding [ ERP and ER ] also to have optimized processes. So fully confirming for the year-end, the usual guidance and the debt below 3x. We'll have the reversal in Q4 with strong EBITDA growth fueled by our international activities, French recovery and the Boosters, discipline on CapEx and working capital reversal.
Estelle Brachlianoff: So the usual seasonality.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Estelle Brachlianoff for closing remarks.
Estelle Brachlianoff: Thank you very much. You understood. We are very confident, very happy about the 9-month result, very, very confident for the rest of the year and very happy that the priority we've been given in GreenUp as even being more technological oriented, more international are bearing fruits in our results as they support the growth of our earnings and will so in the next few years. Thank you very much.
Operator: Thank you. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.